Operator: Welcome to the Fourth Quarter 2023 Earnings Call. Today's call is being recorded. Legal counsel requires us to advise that the discussion scheduled to take place today may contain forward-looking statements that involve known and unknown risks and uncertainties. Actual results may be materially different from any future results, performance or achievements contemplated in the forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in the forward-looking statements is contained in the company's annual information form as filed with the Canadian Securities Administration and in the company's annual report on the Form 40-F as filed with the U.S. Securities and Exchange Commission. As a reminder, today's call is being recorded. Today is February 6, 2024. I would like to turn the call over to Chief Executive Officer, Mr. Scott Patterson. Please go ahead.
Scott Patterson: Thank you, Justin and welcome, ladies and gentlemen, to our fourth quarter and year-end conference call. I'm on with Jeremy Rakusin, our CFO. Thank you for joining us today. We're very pleased with how we finished the year and with our momentum, as we head into 2024. Before I jump into the quarterly results, I want to make a few comments about the year. We closed out 2023 with our revenue up 16% over 2022 and our EBITDA up 18%. Very strong results. Organic growth for the year at 10% accounted for over half of our top-line increase. And importantly, the organic growth was balanced equally across our divisions. Both FirstService Residential and FirstService Brands grew organically by 10%. We've had some time now to reflect on these results for the year, and we could not be more proud of our teams for how they performed. 2023 represents the third consecutive year with organic growth at 10%, and that is a reflection on our teams and their ability to consistently gain market share. Now I'll turn to the fourth quarter. Total revenues were up 6% over the prior year and right in line with our internal expectations. The growth for the quarter related entirely to acquisitions. Organic growth was 0 due to a very strong Q4 last year, driven by significant loss claims activity from hurricanes Ian and Fiona that led to outsized revenues for our restoration brands. EBITDA for the quarter was flat at $103 million and again, right in line with our expectations. Jeremy will jump into the margin and earnings per share detail in his comments. Looking at our divisional results. FirstService Residential revenues were up 12%, 9% organically. The results are consistent with the previous three quarters this year and reflects solid growth from net new contract wins and again, was broad-based across North America with all of our regions showing gains. Looking forward to the coming year, we expect to show growth at FirstService Residential at the high single-digit level with organic growth starting to ease back during the year into the mid-single-digit range, which is our long-term average in this business. This is the contractual recurring revenue model with only modest swings quarter-to-quarter. Moving on to FirstService Brands. Revenues for the quarter were up 1% compared to the very strong prior year quarter that was up 28% over the same quarter in 2021. Revenues declined 7% on an organic basis with gains at Century Fire and our home improvement brands more than offset by the headwinds at our restoration brands. Let me go through each segment and I'll start with restoration, which includes our results for Paul Davis and FirstOnSite. Revenues for the quarter came in lighter than expectation and were down more than 10% against a tough comp in the prior year. We experienced very mild weather patterns across North America during the quarter. And in addition, our remaining Hurricane Ian related backlog did not progress as we expected. We produced only a modest amount of storm-related work about $15 million during the fourth quarter, which historically is our strongest storm-related revenue quarter. By comparison, we generated $85 million in revenue last year from Hurricanes Ian and Fiona. We've seen an uptick in activity in Q1 from the frigid weather that much of North America experienced in mid-January, and we expect a solid quarter, but it will not be at the level we experienced in Q1 last year, off the back of winter storm Elliott and the hurricanes. Our expectation is that Q1 restoration revenues will be down at least 10% from prior year. Moving now to our home improvement brands, including California Closets, CertaPro Painters, Floor Coverings International and Pillar To Post Home Inspection. As a group, these brands were up mid-single digit versus the prior year, with organic growth low-single-digit, very similar results to those we posted in Q3. We continue to face real headwinds in home improvement and lead activity continues to be sluggish, still off year-over-year. It's a real tribute to the tenacity of our teams in this segment that we've driven growth the last two quarters in this environment. Interest rate levels and record low home sales have negatively impacted consumer demand and we don't expect this to abate until late in the year or next year. That said, our teams in home improvement are confident that they can continue to grind out modest gains through 2024. I'll finish my review of the Q4 results with Century Fire, which had another very strong quarter, exceeding our expectations with organic growth near 20%. Similar to previous quarters this year, we are seeing strength across each of installation, service and inspection in our National Accounts division, and almost all our branches are performing and growing. The Century team has really done a great job this year. Looking forward, we're expecting continued strong results, but certainly more modest growth off the back of the 20% growth this year. Backlogs are solid, about flat with prior year-end. Based on current bid activity, our expectations for 2024 growth at Century is high-single digit which is more in line with our experience prior to this past year. Before I pass over to Jeremy, I want to spend a few minutes introducing our new platform acquisition, Roofing Corp of America, which we closed in late-December. Roofing Corp is a $400 million revenue business that operates from 16 branches across 11 states. It offers end-to-end roofing services, including new installation, reroofing and repair and maintenance primarily to commercial property owners and managers. 90% of the revenue is commercial and the focus go forward is commercial. It's a business that has come together over the last five years through acquisition. We spent significant due diligence time on each acquired company and each branch and came away very impressed with the businesses that make up Roofing Corp and with the teams, both corporately and at the branch level. We're excited about the opportunity in Roofing and excited to be partnering with this group, led by Randy Korach, CEO. We've been looking at roofing in general, since late-2020. I've mentioned in anonymous call in the past. It shares many of the same characteristics as our other businesses in terms of being an essential property service operating in a huge fragmented market with growth potential, both organically and through tuck-under acquisition. It's also highly complementary with restoration and fits well with the broader thesis we have around repair, maintenance and restoration of the built environment and the growth potential in that space. Growth from the continual expansion of the built environment, but also from the increased frequency and volatility of weather. Restoration, roofing, painting, flooring, we will benefit from weather across all these businesses in the coming years. Roofing Corp. finished 2023 with momentum. We have a strong backlog of work and we expect solid organic growth in the mid- to high-single-digit range for 2024. We also expect to be active in terms of building the acquisition pipeline and seeking out tuck-unders. With that, let me pass you over to Jeremy, who will provide a more detailed review of our performance and pull together a consolidated look forward for 2024. Jeremy?
Jeremy Rakusin: Thank you, Scott. Good morning, everyone. Scott just highlighted, we are pleased with the strong full year 2023 financial results we delivered, even in the face of a more tempered fourth quarter, when we were up against very strong prior year Q4 2022 headwinds. I will parse out these details in my commentary, starting first with a summary of our consolidated performance and following up with a segmented breakdown across our two divisions. During the fourth quarter, we reported consolidated revenues totaling $1.08 billion and adjusted EBITDA of $103.3 million, up 6% and 1%, respectively, with our margin at 9.6% compared to 10.1% in the prior year period. For the full year, consolidated revenues increased 16% to $4.33 billion, underpinned by a strong and broad-based 10% organic growth. Adjusted EBITDA came in at $415.7 million, up 18% over the prior year and yielding a 9.6% margin, up 20 basis points compared to 9.4% in 2022. From a net earnings perspective in the fourth quarter, adjusted EPS was $1.11, down from $1.22 in last year's fourth quarter. For the full year, we reported adjusted EPS of $4.66, up 10% over the $4.24 in 2022. Our annual interest costs almost doubled versus the prior year, largely attributable to the higher interest rate environment. Higher rates in 2023 compared to 2022 at a more than $0.30 per share or 7% negative impact on our adjusted EPS growth, which otherwise would have matched our EBITDA annual growth rate in 2023. Note that these comments on our adjusted EBITDA and adjusted EPS results, respectively, reflect adjustments to GAAP operating earnings and GAAP EPS, which are disclosed in this morning's press release, and are consistent with our approach in prior periods. Now I'll provide additional commentary on our division results for both the fourth quarter and full year. At FirstService Residential for the fourth quarter, revenues were $496 million, up 12% versus the prior-year period, and the division reported EBITDA of $43.5 million, up 14% quarter-over-quarter. Our margin for the quarter was 8.8%, modestly higher than the 8.6% level in Q4 2022. For the full year, revenues hit the $2 billion mark increasing by 13% over 2022, including 10% organic growth. We also delivered an 11% increase in annual EBITDA with our full year margin at 9.4% and in line with the 9.5% margin for 2022. The margin is also down the middle of our typical 9% to 10% annual margin band for the FirstService Residential division and a range consistent with what we also see for 2024. Shifting now to our FirstService Brands division and focusing first on Q4. We recorded revenues of $583 million, a 1% increase. As Scott referenced, our restoration operations had lower revenues versus prior year, due to the mild weather during the current quarter compared to the contribution from significant hurricane events in late-2022. The Brands division saw solid organic revenue growth, excluding this restoration-related headwind. For the fourth quarter, our Brands division EBITDA came in at $61.1 million, down 9% versus the prior year quarter. Our division margin during the quarter was 10.5%, down from 11.7% in Q4 2022. And as expected, matched the margin level for the prior sequential third quarter, which we noted in our Q3 earnings call. Profitability and margins were lower within our restoration businesses as a result of the reduced weather-driven activity levels and revenues. Margins at our home services brands also moderated in the fourth quarter compared to prior year as increased promotional pricing and marketing initiatives were implemented to preserve our top-line growth. For the full year, revenues were very strong, up 19%, including 11% organic growth. Our annual EBITDA grew 24%, resulting in a 10.4% full year margin, up 50 basis points versus the prior year of 9.9%. We will continue to experience quarterly and even annual shift in our Brands division margins into 2024 and beyond, particularly in light of our restoration operations, which depend on certain levels of baseline weather-driven activity. The more periodic and larger area-wide storm events can further exacerbate the year-over-year margin profiles within restoration and thereby influence the brand's margin comparisons. Despite these near-term fluctuations, our focus continues to be on the longer-term secular market opportunity for our restoration, repair and maintenance brand to deliver attractive compounded growth rates. Finally, to close off my commentary on the P&L, we reported lower corporate costs in the fourth quarter, due to the benefit of foreign exchange movements. We also had larger than typical acquisition-related items during the quarter, which negatively impacted GAAP operating earnings and GAAP EPS, which have no effect on our EBITDA and adjusted EPS performance metrics. Of the $16 million amount in Q4, most related to earn-outs tied to prior tuck-under acquisitions and transaction costs for the larger Roofing Corp of America acquisition that Scott previously described. Now I'll walk through a summary of our cash flow and capital deployment. For the fourth quarter, we delivered cash flow from operations after working capital totaling $110 million, double the level during the prior year period. For the full year, operating cash flow was $280 million, up significantly over the $106 million in 2022, driven by strong operating earnings growth and conversion of working capital investments in our restoration operations from prior-year hurricane activity levels. We incurred $25 million of capital expenditures during Q4, resulting in full year CapEx of $93 million, which came in lower than our most recently indicated target of $100 million. In 2024, we expect total capital expenditures to increase in line with the growth of our operation to approximately $115 million. Maintenance CapEx represents the predominant amount of the spending for service vehicle fleet, IT and office leasehold replacement cycles across our brands and will continue to represent roughly 2% of revenues and 20% of EBITDA on a consolidated basis. The fourth quarter also saw significant acquisition spending totaling $434 million, with the bulk of that amount to finance the Roofing Corp transaction. For the year, we deployed almost $550 million towards acquisitions and excluding the Roofing Corp transaction, our tuck-under acquisition program spending totaled close to $150 million, which contributes a mid-single-digit percentage of incremental revenue growth above our organic growth base. Beyond these growth-driven capital deployment priorities, we also continued our trend of growing our dividends by yesterday approving an 11% dividend increase to $1 per share annually in U.S. dollars, up from the prior $0.90. We have now annually hiked our dividend 10% or higher every year over the past decade. Our 2023 year-end balance sheet continues to be strong even after the larger Roofing Corp investment. We closed out the year with just under $1 billion of net debt, and our leverage sits at a conservative 2.1x net debt to adjusted EBITDA, up only 0.5 turn from the 1.6x level at the end of 2022. After current year-end, this past January, we also bolstered our liquidity by tapping into $125 million of senior unsecured notes, under our noteholder Master Shelf facilities, which have five to seven year maturities with interest coupons in the 5.5% area. Together with our cash on hand and availability under our bank credit facility, our current liquidity is approximately $400 million, which is ample for us to drive further acquisition growth as we work through our existing deal pipeline. Looking forward, you've heard Scott comment on the individual brands top line near-term growth indicators. With all that in mind, we see upcoming first quarter consolidated revenue growth to be approximately 10%. Q1 margins will be lower versus prior year with the residential division margin roughly flat and the Brands division margin down due to our restoration operations, which are comparing against approximately $80 million of hurricane-related revenue in Q1 '23 that will not repeat in the first quarter of 2024. For the full year, on a consolidated basis, we expect to deliver top-line growth in the low-teens percentage range with a healthy base of organic growth on the back of continued momentum with our brands, together with approximately $400 million revenue contribution from our Roofing Corp acquisition. With respect to profitability, residential margins will likely perform in line with prior year quarters, while our brands margins should see modest year-over-year improvement during the latter half of the year, when we are no longer comparing against the 2023 hurricane and winter storm events. Piecing it all together, we expect our consolidated EBITDA margin for the full year to be relatively in line to slightly up versus 2023. This now concludes our prepared comments. Operator, please open up the call to questions, and thank you.
Operator: Thank you. [Operator Instructions] And our first question comes from Michael Doumet from Scotiabank. Your line is now open.
Michael Doumet: Hey. Good morning, guys. Nice quarter. Scott, Jeremy, I think the -- maybe just to start on the guidance for the year. So the way I understand it for 2024, the guidance doesn't include any storm-related activity, which all is equal, would suggest lower EBITDA margins for 2024, but you're calling for flat to slightly higher EBITDA margins. Which again would imply embedded margins are rising somewhere else. Just trying to see if we can break that down a little bit, where the margin expansion is happening, whether it's Roofing Corp or something else?
Jeremy Rakusin: Yeah. Correct, Michael. I mean just to put a box around it, the top line low-teens. That does not include, as you said, any additional shot in the arm from storms. It also doesn't include unidentified tuck-under acquisitions. And frankly, we do acquisitions every year. And if we continue with that cadence, you could see our top line and bottom line, frankly, resemble pretty close to the performance we just delivered in '23 over 2022. But again, we don't build that into our thinking. I'd say the residential margins relatively flat, so no real pickup there. In the brands, it would be a little bit of mix. We were adding the Roofing Corp transaction, which we come in at low-double-digit margins, and that has a little bit of a positive mix impact. And add some of the efficiencies that we're going to start to see in our restoration operations from the implementation of the operating platform. It's not going to be in a straight line, but that incrementally over the quarters and into frankly, beyond '24 will be something that we're working on and should be a small margin enhancer for us as well during the course of 2024.
Michael Doumet: Super helpful. And maybe a bigger picture here. So I do like the thesis around the roofing business. I wonder to what extent there are synergies between the restoration business and the roofing business. And I wonder, again, if you continue to expand the restoration business, whether or not there are other businesses where you might increasingly look to explore synergies.
Scott Patterson: Michael, certainly, roofing is complementary to restoration and -- we -- as I said in my prepared comments, we've been looking at it for a few years now and really became aware of it or more aware of it through -- FirstOnSite in our commercial restoration because we're regularly seeing opportunities in roofing and either subbing it out or walking away from it. So certainly, we became more aware of the opportunity through restoration, but it is a discrete opportunity that we see big opportunity in. There will be some collaboration certainly between the restoration brands and Roofing Corp, but it is a discrete segment and a discrete opportunity for us. Beyond that, I mean, generally, the thesis around repair maintenance and restoration and the impact that weather will have on that. I mean, we're very bullish on it. We think CertaPro Painters will certainly benefit. And we are -- CertaPro every year is expanding its commercial capability. And again, we see collaboration between these areas going forward.
Michael Doumet: Really, helpful. Appreciate the color. Thank you, guys.
Operator: Thank you. And one moment for our next question. And our next question comes from Stephen Sheldon from William Blair. Your line is now open.
Stephen Sheldon: Hey. Good morning. Thank you. Just first, can you talk about top of the funnel trends in the home improvement brand? I think you said it continues to be sluggish. Are you seeing that weaken even more than you had seen before? And then just as we think about the next couple of quarters there, how much of visibility do you have into revenue there, just given the backlog that continues to convert?
Scott Patterson: It's not weaker, Stephen. It's sort of holding off our lead activity of 5% to 10%. So it's similar to the last few quarters we've had. And we would expect similar results in the first half of the year to what you've seen in the last half of '23. So I mean it's tough, it's a grind, but we expect that will be up a bit top line. We are continuing to invest in marketing and continuing to focus on lead conversion and closing rate, which are really two levers more in our control that can help offset the headwinds, and we're having success with that.
Stephen Sheldon: Very helpful. And then as a follow-up within the fire business, is there much of a margin differential between the installation work tied to construction activity versus the recurring inspection and repair work and just asking that in case we see construction activity paper over the next year or two and the impact that could have on margins in the fire brand, if there is a mix shift more towards the recurring revenue streams there?
Scott Patterson: No, very, very similar. The one -- I would say, 2023 margins were similar. Historically, as we've experienced price increases in steel and other materials. It's impacted installation relative to service, which is more labor-driven. But right now, they're running very similar.
Stephen Sheldon: Thank you.
Operator: Thank you. And one moment for our next question. And our next question comes from Stephen MacLeod from BMO Capital Markets. Your line is now open.
Stephen MacLeod: Great. Thank you. Good morning, guys. Just wanted to circle around on a couple of things related to Q1, particularly within restoration. I know you gave some sort of near-term guidance on the different components. But just wondering, when you put it all together, what -- how do you sort of foresee Q1 organic growth evolving on a consolidated basis within the brand -- it was in the brands division?
Scott Patterson: Jeremy, do you want to handle that?
Jeremy Rakusin: Sure. I think it's going to be pretty similar, Stephen, to what we what we just saw in Q4. Similar headwinds in the order of $80 million. I think I mentioned in my prepared comments, $80 million that we're going to be comping against in Q1 versus Q1 of 2023. And that's a similar headwind as what we had just in Q4. So organic revenue growth, as Scott mentioned, was down 7%. It's going to be down about the same amount, including the storms, if you ex out this that $80 million headwind would be healthy organic growth for the Brands division.
Stephen MacLeod: Okay. Great. And then just would you expect a similar type of margin impact in Q1 that you saw in Q4, considering the organic is roughly the same?
Jeremy Rakusin: On a consolidated -- I've said that residential will be flat and brands would be down on a consolidated basis. I would look for Q1 consolidated margins to be down roughly 100 basis points, perhaps a little bit more.
Stephen MacLeod: Okay. And that would be sort of flat resi and down brands to get to that consolidated.
Jeremy Rakusin: Obviously, brand's down more than $100 million, if the other division is flat, but the consolidated would be 100 basis points of potential wider on the compression.
Stephen MacLeod: Yes. Okay. No, that's very helpful. And then just sort of higher level, having now owned the Roofing business for six weeks or however long it's been. Just wondering if you can give a little bit of color as to kind of what you're seeing so far? I know you mentioned the business finished the year strongly, which is great. But just wondering, are there some wins or highlights that you can sort of highlight that you've seen so far?
Scott Patterson: Yes. I mean it's early days, Stephen, thinking through the wind. I think the biggest thing from our perspective is just our excitement to be partnering with this group. It's a strong team, and we're just filled with optimism about our opportunity in this business. We've got great operators at the branch level that -- and generally, the alignment with the management team around building the premier roofing contractor in the U.S. and doing it the right way. Ensuring that we're serving the customer, winning day-to-day and growing organically and then topping that off with acquisitions, and we do expect to be participating. It's a consolidating industry. And we'll definitely -- I expect that we'll do some -- we'll have some success completing tuck-unders this year.
Stephen MacLeod: Okay. That's great. And then maybe just sort of higher level, just as we think about the year for 2024. Looking at -- it looks like the comps are a bit tougher in both brands and resi in the first half of the year. So are you kind of expecting the year to shape out that way with sort of tougher comps in Q -- in the first half and then maybe some stronger growth in the back half of the year?
Jeremy Rakusin: Not so much. And I think Scott spoke about it in residential, if you're talking top line, we're going to settle more into a mid-single digit organic top line growth pattern. Brands for sure, the headwinds are most acute in the front half of the year, particularly Q1, a little less so in Q2, but still there with respect to the hurricane-related and winter storm Elliott-related work that we had. It starts to paper off in Q3. And as you know, it was pretty minimal for us in Q4 this year. So yes, the wins will fade as we move through the year.
Stephen MacLeod: Okay. That’s great. Well, thanks, guys. Appreciate it.
Operator: Thank you. And one moment for our next question. And our next question comes from Daryl Young from Stifel. Your line is now open.
Daryl Young: Hey. Good morning, everyone. Just sticking on the roofing theme, a question around the growth focus. And I guess how the organic model is going to work there and what are some of the key variables are for winning market share. So is it about competing on price? Or is there a way to pursue a differentiation strategy in terms of large scale or more complex roofing projects or specialty facilities or any color you can give here on what differentiates the growth.
Scott Patterson: I think, first and foremost, it's a growing market. So there are tailwinds that will drive the growth in the market. And then it comes down to serving the customer in the local market and having great leadership locally, great relationships and delivering on your brand promise. And so this is a group that has done that historically. And one of the reasons why we're so excited about partnering with them is that kind of alignment. So it's going to be -- the markets are huge, and it's very similar to our other markets and the opportunity to grow organically is really through your culture, your people and bringing it every day. And that's the same as all our businesses. And really, that's the opportunity that we saw. We'll be taking a long-term perspective. It's incremental. And then it is early days, but there is an opportunity as we fill out our footprint to start to develop a national account program similar to what we've done at FirstOnSite Century Fire. And we'll be working on that in earnest in the coming years.
Daryl Young: That's great color. And then on the residential property management side, we've seen a number of third-party technology platforms that have kind of popped up in the last few years and looking at helping HOAs and residents self-managed communities and record-keeping and amenity booking and all that. Are you seeing any sort of competitive risks related to that? I know you invest a lot in your own tech stack. But just any color you can give us there in terms of ability to keep winning market share on the resi side and any potential disruption?
Scott Patterson: Yes. I mean a lot of that technology would relate to smaller communities, where they -- technology and the Board may be able to manage it themselves. You did mention self-management. So I think that's what you're speaking to. Our sweet spot is really the larger communities, the more complex communities, High-Rise, Lifestyle, where there's large numbers of sited staff. Technology certainly matters. And as you suggest, we continue to invest in ours, but it's more about the day-to-day delivery of service from your teams.
Daryl Young: Got it. Okay. That’s it from me. I’ll jump back in the queue. Thanks, guys.
Operator: Thank you. And one moment for our next question. And our next question comes from Frederic Bastien from Raymond James. Your line is now open.
Frederic Bastien: Hi. Good afternoon, guys. I just wanted to dig a little further on the M&A side. Scott, on the brand side, you've been pretty vocal about adding services like roofing, insulation and asbestos removal. Obviously, you took care of the roofing part with RCA, but I was wondering what are your views right now on the other two business lines that you were calling out in prior quarters?
Scott Patterson: Frederic, I mean nothing close, but I think we're always going to be keeping our eyes out for adjacencies. And again, it's around this maintenance, repair, restoration space. You know what? When we service a large loss, commercial large loss what other opportunities are there. And what are we walking away from, how can we deliver a better service to the customer, which is really what led us to roofing and to comment on some of the other things that you've mentioned. Nothing close though.
Frederic Bastien: Okay. And then this was, I guess, discussed a little earlier on. But presumably, the RCA acquisition came in with a laundry list of potential targets. And is that what is giving you the confidence that you might be able to bring in a couple more tuck-ins on that side?
Scott Patterson: Yes. I don't know if it's a laundry list, but there's certainly a pipeline. And over the last few years, we've had many conversations and so sort of combining those efforts will create some opportunity this year, but it's -- we also are going to be very careful and focused on fit and strategy. But this roofing is a consolidating industry, and it's happening quickly. So we need to be there.
Frederic Bastien: Great. That’s all I have. Thank you.
Operator: Thank you. And we have a follow-up question, one moment. And our follow-up question comes from Tom Callaghan from RBC Capital Markets. Your line is now open.
Tom Callaghan: Hey. Good morning, guys. Maybe just on the residential side. In terms of the building blocks for 2024, can you just talk kind of about pricing and what you're seeing there? I know through the year in '23. Obviously, renewals were running kind of stronger than historical, but maybe what's kind of embedded in your outlook into '24 there?
Jeremy Rakusin: Tom, we've been running at 3%, and that contributed to the strong organic growth in the 10% range these past few quarters. Heading into '24 and then built into I think in Scott's comments, about us settling back to a mid-single-digit range is moving back down to the longer-term and typical pricing dynamic in this industry, which is 1% to 2%. So we're incrementally as we renew contracts throughout the year, we're kind of starting to see that type of pricing dynamic settle back in there. And it makes sense, wage inflation is coming down and it's a price-competitive industry, and we've always said that. So that's the look forward.
Tom Callaghan: Got it. Thanks for that. And then just maybe one more. And I know you guys kind of have touched upon it here in your prepared remarks. But just given kind of the macro headwinds and obviously leads being down in the home improvement side of things, but obviously, still showing gains. How are you kind of thinking about that volume/market share versus kind of the price promotion trade-off and kind of the impact or related impact on margins there? As we kind of move forward into '24?
Scott Patterson: Yes. It's definitely a balance that we're working through. It's a growth-oriented group and it's a time, when we can, in some respects, take advantage of the market and gain share, but we want to balance it with margins. So we're looking to this year not go backwards on margins certainly and looking to increase it from what we experienced in 2023.
Tom Callaghan: Okay. Great. appreciate the color, guys. I’ll turn back. Thanks.
Operator: Thank you. And one moment for our next follow-up question. And our follow-up question comes from Daryl Young from Stifel. Your line is now open.
Daryl Young: Yeah. Sorry, guys. Just one last one. With respect to the national account strategy and now having sort of fire restoration and roofing all potentially pursuing the same customers. Is there an insurance angle that's starting to work its way through on the commercial side and opportunities to be a preferred vendor with insurance companies as well or is that still kind of an early days concept?
Scott Patterson: It's not something that's risen to the top. Certainly, national insurance carriers or customers to Paul Davison, FirstOnSite. Not significant customers to Roofing Corp and not at all the Century Fire. So it's, I think, more isolated to restoration right now.
Daryl Young: Okay. That’s great. Thanks.
Operator: Thank you. And I'm showing no further questions. I would now like to turn the call back over to Scott Patterson for closing remarks.
Scott Patterson: Thank you, Justin, and thank you all for joining. We're looking forward to a strong 2024, and we'll reconnect with you all in April around Q1. Have a great day.
Operator: Ladies and gentlemen, this concludes the first quarter investors conference call. Thank you for your participation, and have a nice day.